Ben Allanson: Good morning from Stagwell's offices in Washington, D.C. and welcome to Stagwell, Inc.'s earnings webcast for the first quarter of 2024. My name is Ben Allanson I lead the Investor Relations function here at Stawell. With me today are Mark Penn, Stagwell's Chairman and Chief Executive Officer and I'm Frank Lanuto, the Chief Financial Officer.
 Mark will provide a business update, and Frank will share a financial review. After the prepared remarks, we will open the floor for Q&A. [Operator Instructions] Before we begin, I'd like to remind you that the following remarks include forward-looking statements and non-GAAP financial data. Forward-looking statements about the company, including those related to earnings guidance are subject to uncertainties and risk factors addressed in our earnings release, slide presentation and the company's SEC results. Please refer to our website, stagwellglobal.com/investors for an investor presentation and additional resources. This morning's press release and the slide deck provide definitions, explanations and reconciliations of non-GAAP financial data. 
 And with that, I'd like to turn the call over to our Chairman and CEO, Mark Penn. 
Mark Penn: Thank you, Ben, and thank you to everyone joining us for our first quarter earnings call. On our Q4 call in February, I talked about our excitement and confidence in 2024, highlighting that we expect to return to growth in the first half of this year. Several factors give us confidence, including the abatement of industry headwinds -- including the abatement of industry headwinds, such as tech restructuring activities, strong new business trends, our record-breaking political cycle and our continued investments in digital innovation beginning to contribute to growth. 
 Today, I'm pleased to share that these trends are beginning to play out exactly as we anticipated. Stagwell delivered $670 million of revenue in the first quarter. These figures represent an encouraging growth in revenue of 8%. Additionally, we continue to post record net new business figures for both the first quarter and last 12 months. 
 Importantly, we delivered these growth figures while effectively managing our costs. Actions we took in 2023 helped us grow our adjusted EBITDA by 25% year-over-year to $90 million. These results are highly encouraging and give us the confidence to reiterate our full year guidance today. 
 We also draw our confidence in gain tailwinds. Advertising is once again growing. Our reputation is expanded, and we are participating in record new business pitches. AI will within the year create vast digital transformation opportunities. International work is proving a fertile area for expansion, and the advocacy season promises to be historic. 
 This quarter's performance was driven by 2 double-digit growing capabilities. Performance Media and Data grew 13% in revenue and 12% in net revenue. Advocacy showed 80% revenue growth to 54% net revenue increase. Digital transformation, led by double-digit growing gap, return to revenue growth, but it's still building up a expanded pipeline as tech companies are beginning to come back online and research is still overcoming the impact of last year's riders trend.
 Continuing the trend from last year, we saw outsized year-over-year growth in our relationships with our largest, most impactful customers. In the first quarter, our top 100 customers, now representing 50% of our total net revenue, grew 25%. 
 Geographically, we saw a return to growth in the United States, our largest market, with total revenue growth of 9% year-over-year. Our international businesses also continued their momentum with revenue growth of 7% in the quarter. Europe has been a major area of focus for us recently, and we opened our new regional headquarters, Bluefin, in London just a few weeks ago. This focus is translating into strong revenue momentum with the EMEA region growing 14% year-over-year. 
 Turning to cost and profitability. As I mentioned previously, we delivered $90 million of adjusted EBITDA in the first quarter, 25% higher than the first quarter of last year and representing a 17% margin improvement of 320 basis points year-over-year. This impressive figure is a direct consequence of the proactive steps we took last year to manage our costs. 
 In 2023, we took staffing actions that resulted in $98 million of annual [Audio Gap] statement. As a result, our labor costs are 2% lower in the first quarter of 2024, helping to deliver a staffing-to-net revenue ratio of 64.3%, an improvement of 270 basis points over the first quarter of last year. 
 Also driving this margin improvement is a laser focus on managing our G&A expenses. Despite our growing net revenue in the quarter, our total G&A expenses were almost exactly the same as in the same period last year. We're installing modern systems for back office, utilizing offshoring, and adding AI capabilities to streamline operations. 
 We've seen particularly strong growth in adjusted EBITDA from our performance media and data capability, growing 212%, and creativity and communications growing 42%, a testament to the focus that all of Stagwell is placing our control in our costs. 
 Net new business continues to bring company records. Given us increased confidence in our full year guidance. In the quarter, we delivered $66 million of net new business, a record for the first quarter for Stagwell. This brings our last 12-month net new business figure to $284 million, also a company record. Quarter after quarter, we've increased the LTM net new business figure from $212 million a year ago. 
 Importantly, the size of our wins has grown impressively continue to be of value to larger global pitches. In the first quarter, the average wind size increased 13% year-over-year. These net new business numbers were driven by some important wins, including Fogo de Chao, the Star Tribune, Fossil and Wilson, as well as expansions for targeted [indiscernible]. 
 In Q1, Stagwell agencies captured over 70 of the top awards across major industry shows, including an array of Agency of the Year designation, maybe 1% to 2% of the market. We are far exceeding that in terms of redistributing [indiscernible]. These include 4 agencies featured on the Ad Age A list, including Code and Theory  being recognized as business transformation agency of the year, GALE winning U.S. advertising agency of the year by Campaign, Assembly being named Media Agency of the Year, and Exponent being the IT comm shop within [indiscernible] took home the disruptive agency of the year plan. 
 Our M&A program was active. We might not have gotten every deal we sought, but the net revenue and adjusted EBITDA from companies acquired in the fourth and first quarters exceeded the net revenue and adjusted EBITDA loss from ConcentricLife disposition. We achieved this despite the initial outlier in acquisitions being only about 15% of the dispositions growth proceeds. 
 This is a concrete evidence that our M&A machine can be a major driver of value for investors moving forward. As I've discussed previously, we're exploring a further noncore disposition and hope to have more color on that later here. 
 In the first months of 2024, we made strong progress in expanding our global presence through acquisitions. We had a U.K. digital collective sidekick and our first French-created agency was Next Partners. Just last month, shortly after the end of the first quarter, we announced the acquisition of Pros, a digital-focused brand and marketing consultancy in Brazil, which significantly expands our Latin American prices. 
 We're looking to become more competitive internationally by doubling our business outside of North America to 40% of net revenues over the coming years. Our current focus is in Western Europe, the Middle East and Asia. 
 This quarter, we took steps to sharpen our capabilities in data, media and AI through a combination of internal initiatives and external partnerships. In the first quarter, we maintained strong investment of $14 million into the Stagwell Marketing Cloud, our AI-enabled suite of products for modern marketers. We're now working to bring our research products under the Harris Quest brand to market and expect to see sales growth in the back half of the year. 
 SMC orchestrated its first software launch with Google Cloud as we deepened the partnership with Gen AI announced last year. At Google Cloud next, we launched a data cleanroom solution on Google's platform that will provide our clients with a private and secure space to mix and match their first-party data with Stagwell's vast trove of data solutions. 
 We're also focused on growing AI leadership across our agencies. One focus will be scaling best-in-class use cases such as GALE's enterprise Alchemy.AI platform announced this quarter, which reduces the time spent on critical tasks across all disciplines in the agency to help GALE's almost 800 people work smarter, better and faster. 
 Left Field Labs is incubating customer-add solutions to elevate the customer experience. And our largest performance media agency, Assembly, is set to announce a new AI solution later this month. 
 We are making significant progress on our media studios unit on building the last mile of the media chain from planning, targeting and audience creation, down to placement and media supply. 
 On our last call, I announced we were building a Stagwell ID [indiscernible] solution. Today, we are partnering with NEXON, a globally unified advertising technology platform. We'll have more to share on that partnership in the coming weeks as we roll out our new offerings in data and media. 
 In other parts of our business, we're preparing for Sport Beach this June at the Cannes Lions Festival, where we'll return for a second year with more brand sponsors and more athletes, including Joe Burrow, JuJu Watkins, and Megan Rapinoe. Sport Beach continues to benefit the company increasing our exposure worldwide and leading to new business opportunities. 
 Finally, we're excited later this month to post our Definitive Future of News Summit in partnership with top publishers across the U.S., including Axios, Business Insider, New York Times, Politico, Wall Street Journal, Washington Post, The Trade Desk and Ad Fontes Media, recognizing that fears around brand safety have made advertisers more cautious about advertising across news and opinion sites. We're releasing a first-of-a-kind study for advertisers to better understand where and how they should be advertising across the news industry. 
 It's been a busy quarter. We are never standing still. We are marching forward to achieve our goal of offering everything from global full service to platform self-service. Wherever new look, Stagwell is evolving and bringing our partners along with us to the cutting edge of marketing services. We're on the forefront of AI, a global performance market of culturally relevant events, of advancing online advocacy campaigns, of the move to more social media and content, and the combination once again of media creator. 
 These efforts on a solid quarter of revenue growth gives us confidence about the year ahead. Now I will hand this over to Frank Lanuto, our Chief Financial Officer, to walk into some of our financial results in more detail. Frank? 
Frank Lanuto: Thank you, Mark. Good morning, everyone, and thank you for joining us to discuss our first quarter results. [Operator Instructions] 
 The company returned to revenue growth during Q1, driven by strong performance in our media and advocacy businesses, improving market conditions in the U.S. and continued momentum in the international markets in which we operate. 
 For the quarter, we reported revenue of $670 million, an increase of 8% as compared to the same period in the prior year. Net revenue, excluding pass-through costs, increased 2% for the same period, to $532 million. Building on the trend for '23, our largest customers continue to invest in their relationship with our agencies. 
 In the first quarter of '24, our top 100 customers, now representing 50% of our consolidated net revenue, grew 25% versus the prior period, our largest improvement in the last 5 quarters. The number of relationships also expanded with the number of customers in our top 100 being serviced by more than one of our agencies increasing 12% year-over-year, providing further evidence that our strategy of delivering integrated services is working. 
 Another positive signal was the occurrence of an inflection point where period-to-period revenues with existing customers from growing relationships exceeded those from declining relationships. Our net new business performance for the quarter represented the fifth consecutive quarter of increasing trailing 12-month performance and set another high watermark of $284 million. We are tangibly benefiting from being invited to participate in larger global pitches, as the average size of our wins increased 13% year-over-year. 
 The combined impact of net new business and improving performance with existing clients leads us to reaffirm our guidance for the year.
 Turning to revenue by capability. The first quarter saw revenue growth in 4 of our 5 principal capabilities. Performance Media and Data delivered $77 million in revenue, an increase of 13% over the prior year period. This performance was driven by a combination of new business wins and growth from existing customers. 
 Particular areas of strength included transportation and lodging, consumer products and the financial services sectors. Creativity and Communications delivered $292 million of revenue, an increase of 11% over the prior period. We had strong growth from a number of consumer products customers, as well as clients in technology, media and communication sectors, which grew about 2% over the prior period.
 Digital transformation returned to growth in the first quarter with revenue increasing to $196 million, a 6% improvement over the prior period, driven by strong performance in food and beverage, efficacy and technology-based clients, which grew 20% period-over-period. 
 This growth was partially offset by softness in financials, as we anniversary the regional metal crisis from early '23. Consumer Insights and Strategy reported $46 million of revenue, a decline of 7% year-over-year. This was largely a consequence of customers within the entertainment sector increasing spending more slowly subsequent to the Hollywood actors and writers strike late last year. 
 Stagwell Marketing Cloud totaled $60 million in revenue, an increase of 7% year-over-year. The suite of software products continues to be an investment priority for us. In the first quarter, we maintained our investment spending of approximately $14 million into the cloud as we continue to build an industry-leading suite of tech products for the modern marketer. 
 Finally, advocacy is a significant contributor to the business mix in election years as we benefit from increased political fundraising and the spending running up to the elections in November. In the first quarter, efficacy revenue grew to $65 million, an increase of 80% over the prior period. 
 Now turning to geographical breakdown, we saw continued strong revenue growth in our international businesses of 7%. This was led by exceptionally strong growth of 14% in the United Kingdom. In the U.S., our largest market, revenue increased 9% over the prior year.
 Turning to costs, management took decisive actions in '23 to rightsize our cost structure to better align with trending revenue. The results of these actions can clearly be seen in our first quarter results. In the first quarter, the company delivered $90 million in adjusted EBITDA, an increase of 25% over the prior period, and it also increased the related margin to 17%, an improvement of nearly 320 basis points over the prior quarter. 
 Staffing is our largest cost. And in '23, we took actions that reduced annualized salaries and headcount by $98 million and 4%, respectively. We benefited from the full effect of these successive actions during Q1, as labor costs were lower by more than 2% or $7 million, and the staffing cost-to-net revenue ratio was lower to 64.3%, an improvement of 270 basis points versus the prior year and the lowest first quarter ratio since our merger. 
 In addition to staffing, we also focused on efficiently managing our G&A costs. For the first quarter, our G&A expenses were just under $100 million, in line with the same period in '23. This results in G&A as a percentage of net revenue ratio of 18.8%, an improvement of nearly 30 basis points versus the prior period. 
 Our G&A costs are inclusive of certain unbillable expenses. These costs tend to grow in line with our net revenues. For both the first quarters of '23 and '24, our unviable customer expenses as a percentage of net revenue remained stable at 6%. Adjusting G&A expenses to account for these unbillables, our G&A actually decreased by slightly more than $1 million year-over-year, representing a 2% decline, excluding unbillables. 
 The cumulative impact of our revenue growth and cost actions contributed to a strong adjusted EBITDA performance during the quarter and allowed us to maintain our strong investment in the Stagwell market cloud. Excluding the $14 million of cloud investment in Q1, our first quarter adjusted EBITDA margin would have been approximately 19.9%. 
 Now moving to the balance sheet. We continue to make efficient allocation of capital to maintain a strong financial position. Starting with deferred acquisition consideration, we reduced obligations of approximately $65 million from the end of the first quarter last year to $101 million at the end of the first quarter in '24. We remain on track to reduce our debt obligations to approximately $40 million by the end of the year. 
 We also acquired 4 million shares during the quarter, at an average price of $6.11 per share, for approximately $25 million. Our existing buyback authorization as of quarter end now has $114 million in remaining availability. 
 CapEx and capitalized software for the quarter was $14 million, broadly in line with our targets. As a result, we ended the quarter with cash of $130 million and drawings under our revolver of $182 million. Our leverage ratio at quarter end was 3x. 
 And finally, as highlighted by Mark in his remarks, we are reaffirming our full year '24 guidance as follows: Organic net revenue growth is expected to be between 5% to 7%. Organic net revenue, excluding advocacy growth, is expected to be 4% to 5%. Adjusted EBITDA is expected to be between $400 million to $450 million. We expect to deliver approximately 50% free cash flow conversion and adjusted earnings per share is expected to be between $0.75 and $0.88. 
 That concludes our prepared remarks this morning. I will now turn the call back over to Ben Allanson to open the Q&A portion of the call. 
Ben Allanson: Thank you, Frank. [Operator Instructions] We're going to start with a question here from Barton Crockett at Rosenblatt. He says, can you please walk us through what you see as the drivers of acceleration of organic net revenue growth over the balance of 2024 from the 2% reported in Q1 to the 5% to 7% as in the guide today? How much visibility do you have into this acceleration? Do you think it's going to be steady round? Or is there going to be one [indiscernible] of which is really going to tick up. 
Mark Penn: Sure. Thank you, Barton, for that question. Look, I think as you analyze it, you can see international's moving along nicely, advocacy is going moving along nicely. Media is moving along nicely. And the next to really come up and continue to, I think, grow is -- digital transformation has room for growth. 
 Look, media is firing on all cylinders already with double-digit growth. Our pipeline -- when I look at our pipeline, it's 50% higher than it was at this time last year. We are in a record number of new pitches of enhanced size given the enhanced reputation. 
 Also, AI is beginning, I think, to -- customers are beginning to get over the -- let's take a look at it and start to implement it phase. So I think that you're going to really see a good second quarter and things will build to the third and fourth quarters because that's when advocacy and media in the holiday season tend to crescendo -- so I look at it as you're going to really kind of have -- see strength building through the year as I think digital transformation will strengthen, and media and advocacy will really take off in the second half of the year.
 So that's how I see it developing in meeting the goal. 
Ben Allanson: But how, just on digital transformation -- a question here from Jason Kreyer and Craig-Hallum, he's asking about green shoots we're seeing in digital transformation that kind of gives us confidence in the return to growth there. 
Mark Penn: Yes, we're seeing, I think, some of the companies that had cut back last year beginning to come back. We're seeing growth and that's again really AI. I mean if you make the chips and then you have all the cloud, you need the applications. And I think that people are discovering the applications. 
 And we are in the AI application building business. That is what we're doing. I think, first, customers have to be assured that their data would not go into the worldwide global data pot. And I think that's why we put together the clean rooms, for both internally and for our clients, in order to provide that kind of confidence. 
 And I think as customers get confidence that AI can be used safely and securely, you're just going to see this take off. We're going to go back to the biggest problem being finding engineers as opposed to the biggest problem finding work. 
 And I think that really should hit in the second half of the year. I think you can see that building in all of the tech companies in terms of what they're reporting. 
Ben Allanson: Maybe just on the tech customers as well. And if that's the question here, just talking about taxing back some of the key trends we're seeing with technology customers and then sort of rebounding in the share? 
Mark Penn: Yes. I mean we're seeing them slowly. They're not back to full throttle yet. I think they still have more to go. It is shaping up to be the year of competition. We showed some increase. Again, our list of top clients would be a list of large-sized tech companies. In many ways, we're a tech company's tech company, helping to develop AI front end consumer interactions, and as well as to build new applications for our clients. 
 But I think you're still seeing some caution on the side of both of those companies. But again, they are building out their programs, how to bring AI to the masses. And that is where we're going to benefit. And I think at a certain point, the floodgates will open here and that, that can't be too far away. 
Ben Allanson: Shifting gears a little bit just on to the international side of things. A question from Mark Zgutowicz, Benchmark, he says with just about 12% of net revenue outside the U.S. and the U.K. How should we think about growth by geography being factored into our guidance growth by geography moving forward? And he asks, is the expansion to Asia Pacific sort of meaningful initiative for you to unlock that biggest global contract opportunities? 
Mark Penn: I think you can see that when you go through our acquisitions, you can see clearly our strategy. A group of those acquisitions are frontiers of marketing, people like Movers and Shakers, people like Left Field Labs and AI. And the other group of acquisitions is clearly Brazil, U.K., and you're going to see really more focus on Asia and the Mid-East in the next few months. I think that you're going to see us to build in the global network that we need to win. 
 Look for the first time, we're in a $40 million to $60 million pitch. People are looking at Stagwell seeing us as the logical company taking on the majors at a growing scale. So we're going to complete the global network. 
 We also think that -- we put together Blue Fin, which is an office where we brought together 17 European agencies in London. And we can see the benefits, 14% growth just beginning, frankly, because they used to get very small pitches because their services were fragmented. Now it's almost like a shopping mall. You could see advertising, research, media, a set of coordinated services, and they're getting multi-million dollar opportunities. 
 So while the European marketplace may not be a high grower, our ability to grow market share in Europe, I think having put together our agencies and having added a structure with James Townsend, a CEO, I have brought in a whole marketing team. I think we have very good prospects. And that's what we're going to do region-by-region until we have a complete functioning scale global network here. 
Ben Allanson: Great. We'll just have a question on net new business first, and then we'll shift to advocacy, a number of questions on that topic. But Laura Martin over at Needham, she goes, $66 million of net new business wins in Q1, very impressive, up to $284 million for the full -- trailing 12 months. What do you think is the normalized revenue growth rate at Stagwell here? Like, are we in the mid-single digits, high single digits? What are we... 
Mark Penn: Well, look, I think that we'll see a little bit what the Fed does today with our economy. But look, I think we're building back to our targets, right, of getting to the 10% year-over-year growth because if we have 15% in 2022, 2023 for a number of factors was not the year we had planned, but a lot of those factors were exogenous. They were fear of recession. They were media slowdowns. There were strikes across photo and other industries. There was tech pullbacks. We're striving to get back to those numbers. And I think this is a big transition year.
 By the end of the year, we'll have an expanded global network. We'll have our Stagwell marking cloud products, at least in research, I think out in full force. We'll have our media and our ID graph that will extend our capabilities, I think, into deeper media services that will also open up, I think, more revenue opportunities. Digital transformation will be in the thick of AI. 
 So to me, this is a transition year back to that kind of growth that we believe is the long-term target, which is the firm is capable of. 
Ben Allanson: Advocacy, a couple of questions on this. First up, from Steve Cahall at Wells Fargo. Did advocacy out perform your expectations on the revenue, net revenue and adjusted EBITDA side in Q1? We obviously didn't adjust the guidance today, but does that strengthen our advocacy, as well as the new business channel that you just discussed, give me some more confidence in the ability to achieve guidance range? 
Mark Penn: I think the strength of adequacy obviously, gives us -- it's one of the elements that gives us confidence. I think advocacy was a little stronger than expected, particularly since there were no real primaries on each side. And so when you see that kind of strength in advocacy and you look at it, well, 2028, there will probably be -- I thought 2024 will be the record, but now I realize it will be 2028 because there will be -- no matter who wins, open presidencies on both sides and it will be double primaries. 
 So I think the building strength of this, given the fact that there are no primaries, essentially shows that this is going to be a record year. You can see it forming. People are really going to intensively focus on this race, particularly once the conventions get kicked off. 
 And even though there's a little bit of a lull now, advocacy is picking up. People are planning on an incredible race. And I think the services we provide will continue to diversify in the interim. 
Ben Allanson: Just following up on advocacy, another question from Laura. She asking, there's obviously some press speculation that some legal fees that might cannibalize media spend and focus from the Trump campaign. Do you think that those legal structures might lowly be spending and advocacy revenue in '24 versus expectations? And how maybe might that impact our business? 
Mark Penn: We don't do fundraising for the Trump campaign. So it's not -- our focus is really on the House and Senate races and Super PACs that are not directly with campaigns. So that factor wouldn't come in to us or, you know, really either way. 
 Look, I think America's poised for a big race, and people -- there used to be kind of no tradition of people getting involved and active. It used to be about only 1% that would contributed. Now it's hit or around 10% to 12%. And I think you're going to see a really strong participation and those factors are not going to influence one way or the other. 
Ben Allanson: Great. One question on growth rates, and then we're going to talk about AI a little bit, but a question from Cameron McVeigh over at Morgan Stanley. Can you discuss what drove some of the -- and this may be for Frank as well, what drives some of the divergence in growth rates between gross and net revenue in the quarter? And how much of an impact might performance media have had? 
Mark Penn: It's less about Performance Media. We have now acquired a number of companies that have more that recognize more GAAP revenue versus net revenue. When you look at kind of what we acquired Team Epiphany, Left Field Labs. Some of these new companies are more event oriented. Some of the digital online fundraising also generates higher levels of GAAP revenue. 
 So I think those -- those 2 or 3 factors show this divergence. We showed that -- we talked about the GAAP revenue because after all, it is evidence of economic activity. And we're looking for how we're going to make money. The fact that those kinds of revenues change are part of showing kind of the building secrets of events here, and it's going to be quite favorable to Stagwell through the year. 
Ben Allanson: Great. Shifting gear, AI. A question from Jeff van Sinderen, it's got two parts. One, can you talk about the [indiscernible] you're seeing in customer projects in involving AI? And then the other part of it is, can you speak more about how we're using AI in our shared services platform and internally to improve efficiency? 
Mark Penn: Sure. We have about 300 to 400 people internally -- well, just to go back to. Remember that we have the Stagwell market cloud, and we have the Central Innovation Group. And that, that was one of the key principles in building Stagwell. And as Frank pointed out, our EBITDA we could be another $14 million higher if we were not investing heavily in AI and other tech products as a central innovation function.
 We've got about 300 or 400 employees who are signed on to the central kind of AI experimental. Right now, we're actually completing our survey of what everybody is looking for out of AI. Obviously, on the work side, people are looking for lots of the ability to summarize information and the ability to help write things more clearly. And I think on the -- there's a lot of interest in text to video. Give me a picture of a dog in snow kind of thing. 
 And I think on the client end, clients want to make sure that before they dive into AI, that it can be safe and secure, and that's why we are working on safety and security first. And then they want to understand. We're seeing applications for shopping bots. We'll make it just far easier for you to say things like, "I'm having an office party. Tell me what to buy." The whole ability for you to look through data sets and say, "Hey, can you bring up all the polling on the presidential approval for the last 5 years?" 
 These are unprecedented ways in which people can interact with technology and get a -- get a response that would have taken hours and hours before. And so we think there's going to be an enormous amount of work in redoing virtually every website to be AI-enabled in order to provide that kind of confidence. 
 That's where I think we're focusing a lot of our work with clients is exactly there. How has AI changed your brand? After all, if you're going to effectively interact with a brand's AI, as much as you're going to see advertisement, that becomes the absolute critical part of how you market and establish your brand image. 
 And that's why it really benefits us because we're used to really engineering and designing the last mile, that connection between the company and the customer. And I think you're going to see that work explode. 
Ben Allanson: Great. Just one final question on our side, thanks, and I think on for Frank. Between your appetite to grow your media business and digital capabilities internationally, potential divestitures, the [indiscernible], what should we expect in terms of deleveraging by the end of 2024? I think 3x leverages is... 
Frank Lanuto: Yes, we're at 3x now. We expect to be somewhere in the mid-2s by the end of the year, I would say. And that comes from the stronger cash flows that we'll experience in the back half of the year. It steadily ramps up 2, 3 and then Q4 really drives a lot of cash and that will drive down the leverage ratio. 
Ben Allanson: Great. Well, that brings us to a close toay on our first quarter earnings call. Thank you very much for joining us, and I hope you'll be able to join us in a few months' time for our second quarter call.